Operator: Good afternoon. Welcome to Synchronoss Technologies Fiscal Fourth Quarter and Full Year 2021 Earnings Conference Call. Joining us today are Synchronoss Technologies President and CEO, Jeff Miller, and CFO, Taylor Greenwald. Following their remarks, we will open the call for your questions. Then before we conclude, I'll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call will be recorded and made available for replay via a link available in the Investor Relations section of the company's website at synchronoss.com. Now I would like to turn the call over to Synchronoss' CEO, Jeff Miller. Sir, please proceed.
Jeff Miller: Thank you, operator. Welcome, everyone, and thank you all for joining us today. After the market closed, we issued a press release announcing our results for the fourth quarter and fiscal year ended December 31, 2021. A copy of the press release is available in the Investor Relations section of our website, and I encourage all listeners to view our release for additional information on what we'll be discussing today. To begin, I'd like to start with a review of our recent updates and highlights. Before turning the call over to Taylor, who will discuss the financial results for the quarter and year-end. Then we'll open up for questions. So let's get started. We delivered a strong finish to 2021. Our performance in the fourth quarter especially was a major proof point that our strategic direction is correct and that our work is translating into demonstrable results in our key focus areas. We produced quarterly revenue growth and generated multiyear records in cloud revenue, quarterly gross profit, operating income and adjusted EBITDA, among many other performance metrics in Q4. Growth in the quarter and the year was primarily driven by our cloud business, where we continue to achieve accelerating subscriber growth. Those subscriber increases helped contribute to a 15% year-over-year increase in cloud revenue in the fourth quarter. Along with the growing momentum in the cloud business, 2021 was defined by disciplined cost optimization in all of our businesses, all in an effort to maximize profitability. In total, our financial and operating results demonstrated clear progress in our ongoing efforts to streamline the organization and continue growing our high-performing recurring revenue business. With that overview, I'll provide updates with our three product groups, beginning with the Cloud business. Cloud business drove a large portion of our revenue growth, highlighted by a year-over-year subscriber increase of 18% at the end of the fourth quarter, an improvement from 15% in the fourth quarter of 2020. This accelerating growth has been driven primarily by continued adoption of Synchronoss Cloud Solutions with existing Tier 1 customers like Verizon and AT&T. Looking ahead, we see significant opportunities to increase the penetration at both Verizon and AT&T subscriber bases, which represent more than 200 million mobile and home subscribers. And as a result of our new customer additions in 2021, the potential subscriber opportunity now represented by our combined global cloud customer base is over 400 million. We signed four new customers to our Cloud business in 2021. Most recently, we were awarded a contract from Telkomsel to provide our Personal Cloud Solution to the largest wireless carrier in Indonesia with 170 million subscribers. Telkomsel as well as our IT arm, Telecom Sigma, are targeted to launch near the end of Q2. Ahead of that scheduled launch, we will also be coming online with Kitamura by the end of Q1. Kitamura is a leading Japanese multimedia retailer, who will use the Synchronoss Personal Cloud Solution to back up digital content for millions of their online and retail customers. Telkomsel and Kitamura launches will contribute to our growth momentum, as we layer in additional subscribers over the coming quarters. We also remain in active discussions with other enterprises and global service providers, and we expect that this will yield additional agreements in the coming quarters. To meet the expanding needs and the opportunities in Cloud, we're prioritizing new product innovations. In 2021, we introduced private folders capabilities to our Cloud Solution, adding a new level of security and protection for confidential information. Plus, to address the needs of families desiring to make content visible across individuals and devices, we launched shared storage capabilities. As we look ahead, there are several areas of focus within our product road map such as leveraging AI to personalize highlights and flashbacks, which drive user engagement. We're also introducing an upgrade to the consumers' user experience and making it configurable based on service provider and user preferences. And of course, now more than ever, security remains top of mind, and we're adding security enhancements to address the growing demand for these capabilities. These enhancements will lay the foundation for us to set up further monetization of the Cloud business over the long term. Looking ahead, we have three main operational priorities for our cloud business in 2022 and beyond. First, the protection and the growth of subscribers with our existing customers via optimization of offerings, onboarding processes and targeted outreach campaigns. Second, to expand the global customer base through new sales. And finally, to deliver anchor features, new services and new modules that help with partners grow incremental revenue. Our progress to date in all three of these areas has been encouraging, and we'll look to build on early successes going forward. Moving to our messaging operations. We recorded additional license sales with multiple Japanese operators in the fourth quarter. This reflects the continued adoption of our Advanced Messaging products in Japan, where well over 25 million subscribers have downloaded the Plus Message App. While we're encouraged by the continued adoption of Plus Message and expansion of RCS-based messaging in Japan, we made conscious decisions to focus our investments in supporting our existing customers in Japan and the planned launch of RCS on our platform with Verizon later this year. Across our Messaging business, both in our RCS-based messaging and our e-mail solutions, we are prioritizing profitable cash flow contributions. In our digital business, we finished the year strong with wins in the financial analytics and Spatial product lines. These results included a multimillion dollar win from our Sage partnership within our financial analytics offering, as well as continued growth through our partnership with Bricsys, including a new win with Quasar, leveraging our Spatial suite product. Importantly, we also announced today that we entered into a definitive agreement with -- for the sale of our Digital Experience Platform and our Activation Solutions to iQmetrix, a leading provider of telecom retail management software. This transaction allows us to further strengthen our balance sheet and also enables Synchronoss to better focus on the continued development of our core product lines. The remaining Digital assets that we will retain are high-margin contributors, which should help drive better overall company profitability. The transaction value as reported is approximately $14 million with approximately $11 million to be paid upfront and is expected to close in the second quarter. Before I turn the call over to Taylor, I'd like to highlight a few trends in the industry that we believe will benefit Synchronoss now and in the future, including 5G, bundled service offerings, fixed wireless access and total protection services. Beginning in 2022 and beyond, the potential for 5G will require carriers to foster innovation and partner collaboration in order to extend 5G benefits to the consumer. Carriers have a tremendous opportunity to capture sizable share in the consumer revenue through transactions that will occur over 5G networks. During the 3G and 4G era, the primary use cases were quickly established and carriers left the door open for over-the-top providers to capture a large share of consumer services spend. Today, 5G use cases are still being explored in trial, but it's clear that the carriers will take a more assertive role in the digital services value chain through innovation and strategic partnerships. According to a comprehensive research study by Market Research Future, global mobile value-added services are set to present a market opportunity of over $300 billion by 2025. For our own business, we see cloud and messaging solutions as key value-added services that represent significant potential for 5G customer engagement and revenue growth for carriers. To approach the consumer market, carriers are employing digital bundling strategies. By powering digital bundles and simplifying the onboarding, consumption, billing and authentication into value-added services, carriers will drive more consumer value, leading to heightened adoption of premium rate plans. Over the last year, our customers have already started leveraging our cloud to differentiate their consumer offers. For example, TracFone recently included 100 gigabits of cloud storage with their Straight Talk Gold, Platinum and Unlimited plans. AT&T is including cloud is part of their $45 5G Unlimited MAX prepaid plan. And Verizon is adding 600 gigabits of cloud storage space to their 5G Do More and 5G Get More rate plans. In addition to mobile 5G service, global carriers are leveraging fixed wireless access to enable data communications between two sites. The links are often more cost-effective alternative to leasing fiber or installing cables between locations. Businesses and homes can use fixed wireless antenna technology to access broadband Internet, while carriers are already setting their sights on the wireline footprint and starting to take market share from broadband providers. Fixed wireless access will also usher in many more connected device types into everyday lives. In fact, according to a Deloitte 2021 Connectivity and Mobile Trend survey, the average U.S. household has 25 connected devices across 14 categories. And the number of connected devices globally is estimated to reach 38.6 billion by 2025, up from 22 billion in 2018. More devices will increase -- will lead to increased data from cloud storage for the data that's captured by those devices, and will increase the requirements for privacy and data and hardware protection of all the content that's captured. Carriers have proven themselves as true stewards of consumer data protection and privacy, and our cloud solutions help play a key role in delivering on that promise in the home. Finally, as providers of both mobile network and fixed wireless connectivity, carriers are uniquely positioned to become the trusted end-to-end solution of total protection services for subscribers, both at home and on the go. Consumer demand around personal cloud data protection, hardware insurance, home and network security, will allow carriers to capitalize on their trusted relationship with consumers. We believe our white label personal cloud platform will help carriers accelerate the adoption of fixed wireless 5G service and total protection plans. In fact, in Q3 of 2021, Verizon announced their 5G Home Plus service offering. It also includes unlimited Verizon cloud storage. This provides further reference that evidence that both our customer and their subscribers see value in the Synchronoss Personal Cloud and its ability to contribute to their efforts to own the home. Synchronoss is positioned extremely well to take advantage of these market and industry trends, and we're delivering on our promise to grow our high-performing recurring revenue cloud business. Our performance in the fourth quarter is a strong indicator that our work is translating into demonstrable results in key focus areas, and we look forward to building on this momentum in 2022. With that, I'll turn the call over to our CFO, Taylor Greenwald, to discuss our financial results for the quarter in greater detail. Taylor?
Taylor Greenwald: Thank you, Jeff. Before I move into our full financial results, I'd like to briefly discuss some of the key performance indicators, which serve as the leading success metrics for our business. First are the sustained gains in our cloud revenue. The previously mentioned accelerating cloud subscriber growth of 18%, contributed to a 15% year-over-year increase in fourth quarter cloud revenue. We expect cloud revenue to continue growing throughout 2022. As we optimize for profitability, our cloud business will continue to take on a larger proportion of our total revenue. Looking at revenue by product. Cloud revenue, which was up 2% on a year-over-year basis, increased to 59% of total revenue in 2021 from 56% in 2020. Digital revenue, down 3% on a year-over-year basis, made up 20% of total revenue. Messaging revenue, down 18% year-over-year, made up 21% of revenue. We anticipate that Cloud revenue will continue to increase as a proportion of total revenue in 2022. Another core operating metric for us is recurring revenue, which we increased during both the quarter and for the full year. Quarterly recurring revenue increased 1.9% sequentially to $59.1 million from $58 million in the third quarter. Recurring revenue represented 80% of our total revenue in the quarter. Annual recurring revenue grew 3.5% to $336 million, which accounted for 84% of total revenue. This is an increase from $228 million in 2020, which accounted for 78% of total revenue. Turning now to our financial results for the fourth quarter and full year ended December 31, 2021. Total revenue in the fourth quarter of 2021 increased 6.4% to $73.8 million from $69.4 million in the prior year period, marking the second straight quarter with year-over-year improvement. The growth in revenue during the quarter was primarily driven by increased Cloud subscriber growth and a nonrecurring license sale of approximately $2.2 million in the Cloud business during the fourth quarter. Additional License sales and Messaging as well as strong professional services revenue in all 3 businesses also contributed to the increase in fourth quarter revenue. For the full year ended December 31, 2021, total revenue decreased 3.8% to $281 million from $292 million in 2020. The decrease was due to a decline in the Advanced Messaging business from the CCMI nonrecurring license sales and professional services revenue during the prior year, which was partially offset by increased Cloud revenue. Gross profit in the fourth quarter increased 17% to $47.8 million or 64.8% of total revenue from $41 million, 59% of total revenue in the comparable year ago period. The fourth quarter License sale in Cloud as well subscriber growth contributed to the strong results. For the full year, gross profit and gross profit margin improved to $172 million, 61% of total revenue compared to $170 million, 58% of total revenue in 2020. The increases in gross profit and gross margin on lower revenue were primarily attributable to a shift toward a more profitable revenue mix and cost savings initiatives implemented throughout the year. In the fourth quarter, Income from operations was $4.6 million compared to a loss of $2.4 million in 2020. Improvement in operating income was mainly a result of cost savings initiatives, which more than offset an SG&A benefit from a onetime stock compensation item recorded in Q4 2020. For the full year 2021, loss from operations was $19 million compared to $48 million in 2020. The improvement was driven by operating expense savings in addition to a reduction in depreciation and amortization expense, resulting from utilization of cost-effective third-party data center providers. Net loss in the fourth quarter improved to $2.1 million or $0.02 per share compared to a net loss of $10.9 million or $0.26 per share in the prior year period. The improvement in net loss was primarily attributable to a reduction in preferred stock dividends resulting from the company's June '21 recapitalization. For the full year ended December 31, 2021, net loss was $58.5 million or $0.90 per share compared to a net loss of $48.7 million or $1.16 per share in 2020. The greater net loss was a result of a larger tax benefit related to the CARES Act received in 2020, as well as favorable noncash foreign currency translation recorded in the prior year. Adjusted EBITDA, a non-GAAP measurement of operating performance, increased 186% to $18.3 million from $6.4 million in the prior year period. The increase in adjusted EBITDA reflects increased revenue, including revenue from high-margin License sales and cost savings initiatives implemented throughout the year. For the full year ended December 31, 2021, adjusted EBITDA increased 78% to $49.4 million from $27.8 million in 2020. Increase in adjusted EBITDA was primarily attributable to cost savings initiatives implemented throughout the year. Now moving to the balance sheet. Cash and cash equivalents were $31.5 million at December 31, 2021, compared to $24.1 million at September 30. Contributing to the increase during the quarter was an issuance of $16 million in incremental senior notes. Partially offsetting the impact from the sale of the notes, were negative free cash flow of $6.7 million in the quarter and preferred dividend payments of $1.8 million. Included in the free cash flow results were $6 million of capitalized software investment and a $1.4 million deferred payroll tax payment under the CARES Act. Also impacting free cash flow was an $8.5 million increase in the accounts receivable balance due to the favorable timing of customer payments in the third quarter and several license sales, which occurred late in the fourth quarter. It's also worth noting that in terms of the balance sheet, the prepaid assets contained $32 million of tax refunds, which are currently under general audit. Requested materials have been provided to the IRS and the audit is progressing. At this time, the IRS has not given any indication of when these audits will be complete and given some of the challenges that the IRS is experiencing with workload and resources, it's difficult for us to estimate a time when these refunds will be received. We'll provide updates as new information becomes available. It's our intention to use these proceeds to pay down the preferred stock when they do receive -- when we do receive them. I'll now take a moment to provide our financial outlook for the year ahead. As a reminder, Synchronoss provides annual guidance for total revenue and adjusted EBITDA as we believe these metrics to be key indicators for the overall performance of our business. We are also introducing guidance on adjusted free cash flow as improvement in cash is a major focus of the management team for 2022. As we look at the upcoming first quarter and full year 2022, we continue to see our Cloud subscribers grow at a double-digit rate. Our financial and operating results demonstrated progress in our ongoing efforts to streamline the organization and grow our high-performing recurring revenue Cloud business driven by innovative product offerings. Based on our strong performance within the company's core Cloud business as well as an improved overall cost structure, the current expectation is that adjusted free cash flow will improve throughout the year and become positive in 2022. The adjusted free cash flow will remain negative in the first quarter as there are a number of significant annual payments, primarily vendor related, which occur early in the year, but beginning in the second quarter, there will be healthy improvement in the trend. For the 2022 fiscal year, we expect our total GAAP revenue to range between $260 million and $275 million. The comparable 2021 revenue is $264 million after adjusting for the sale of the DXP and Activation assets over the last 9 months of 2021. The continued growth in Cloud will be offset by declines in Messaging and Digital as the company focuses investment toward the higher-margin Cloud business and manage its Digital and Messaging to maximize profit rather than grow revenue. Factoring these trends and the lumpy nature of License and professional services revenue, it is expected that first quarter revenue will be at a similar level as the prior year. The net contribution to GAAP revenue from noncash deferred revenue is expected to be approximately $10 million less in 2022 than it was in 2021. Over time, our customers have switched from large upfront payments toward usage-based models, which typically pay on a per transaction fee or most commonly a fee per subscriber per month. The company expects adjusted EBITDA to range between $40 million and $50 million. In summary, our fourth quarter was defined by strong improvements in Cloud and EBITDA growth, two cornerstones of our long-term business transformation plan. Generating strong free cash flow remains a top priority for us as we work to simplify our capital structure, strengthen our balance sheet, and optimize cost structures across all businesses. By continuing to build for growth in our cloud business and further reducing costs, we are confident that our top and bottom line execution will drive strong improvement in adjusted free cash flow in 2022. We're excited about the progress made in 2021 and look forward to executing our plan for continued improvement in 2022. That completes my summary. I'll now turn it back to Josh for Q&A. Thank you.
Operator: [Operator Instructions] Our first question comes from Josh Nichols of B. Riley. You may proceed.
Josh Nichols: Good to see the company further short it's the balance sheet and guiding to year-over-year growth for '22 on a pro forma basis for the sale. But I was wondering if you could provide a little bit more color. Clearly, there's a lot of traction with the Cloud business, we've seen subscriber growth accelerate. If you were to break down, like what's kind of the growth rate that you're expecting for the cloud business that gets you to that 22% top line number relative to maybe some declines that you may expect to see in the Messaging and Digital business?
Taylor Greenwald: Yes. Thanks, Josh. So we expect Cloud, as we mentioned, to continue growing. It will approach double-digit growth rates, maybe not quite reach double-digit growth rates. And as we mentioned, we do expect continued declines in the Digital and Messaging business, which will offset some of that growth, but the Cloud trends will pick up from the 2021 rate.
Jeff Miller: Yes. It's really driven by the subscriber expansion and will continue to be, as we say, in the materials that we expect that to continue at a double-digit rate. And we've enjoyed acceleration here in recent quarters. So we expect that sort of to set the tone for the revenue growth to follow as we saw in the fourth quarter.
Josh Nichols: And then just as a follow-up to the Cloud business. One, clearly, good traction of Verizon, the company's long-term partner, but also if you could hit on a little bit about what you're seeing at AT&T earlier stage, but obviously, a big opportunity. Have you been seeing a rapid acceleration for subscriber growth there and then potential opportunities in the back half of this year, as you have someone like Telkomsel coming online that has more carriers than either Verizon or AT&T?
Jeff Miller: Yes. So I'll first comment on AT&T, as you suggested. We were delighted at the performance of AT&T subscriber adoption through 2021. And that is reflected in the acceleration that you have seen on top of the very steady growth that we have seen quarter-over-quarter, month-over-month and year-over-year with Verizon. We're feeling like that momentum will continue in 2022. And as you also mentioned, it will be piled on top by the introduction of Kitamura, as well as Telkomsel and Telkom Sigma. Now I would say just to set expectations appropriately, that even as AT&T launched at the beginning of 2020, it took a little while to get it out of the gate and start contributing significantly to growth and ramp, because you have to get into the device trains. In other words, the devices need to have certain preloads of the application, so that it's easy for a consumer to adopt and get on board. And that takes a little bit of time in their device launch cycles. But we are very excited to have these additional customers come on board and to continue to work with AT&T, Verizon and others to implement marketing plans, outreach campaigns and so forth to accelerate the expansion of the existing customers we serve.
Operator: Our next question comes from Mike Latimore with Northland Capital. Please proceed.
Mike Latimore: A great finish to the year there. I guess as it relates -- I mean you just sort of touched on AT&T here. But as it relates to AT&T, sounds like really strong performance there. As you look to 2022, is it really more about -- is it really about just continuing to market your services and programs within AT&T? Or are there some technology advancements you want to bring here that would be important in terms of onboarding tools or something like that?
Jeff Miller: Yes. There are a couple of things that I'll highlight. First off, yes, we're going to do a lot of blocking and tackling, such as the recent launch that they've just done with the new series of Android devices that are coming to market and making sure that we continue to see strong mobile adoption of the AT&T Personal Cloud solution. But beyond that, AT&T has a particularly high penetration of Apple customers. And we're working closely with them to better penetrate that iOS base by making it easy for those customers to onboard the AT&T Personal Cloud as well. And then finally, I mentioned in my comments the importance of fixed wireless access is an area that's a great center piece of focus for the U.S. and the global operator community. We think that, that represents an additional opportunity for expand from the mobile applications even more closely into the home as the U.S. carriers also place a great deal of focus on that. And you're seeing that play out in their investments in the marketplace for their own marketing.
Mike Latimore: And then the asset sale here, was there any impact on EBITDA from that?
Taylor Greenwald: There's a relatively minor impact, low single digits, I'd say, $2 million or $3 million.
Mike Latimore: And then just a clarification on the free cash flow. Is that -- is the idea you will become a free cash flow positive or you'll be free cash flow positive for the year?
Taylor Greenwald: It will be on an adjusted basis, free cash flow positive for the year.
Operator: [Operator Instructions] Our next question comes from Jon Hickman with Ladenburg. You may proceed with your question.
Jon Hickman: Could you elaborate a little bit on the improvement in the gross margin? Was that just product mix? Or did you do something else to get that?
Taylor Greenwald: Yes. No. Yes, a combination of -- we had the onetime license sales in Cloud and also Messaging, which obviously carry a high margin. And then over time, as we have more subscriber growth in Cloud, and the revenue mix shifts more to Cloud, the gross margins naturally lift up given the favorable margin profile of the Cloud business.
Jon Hickman: And then just question about the sale. So if I do the math, that business was generating about $40 million a year in annual revenues. Is that correct?
Taylor Greenwald: No, no, no. It was -- so we had -- from the guidance, we had what -- it was about $20 million of annual revenue in 2021, and it was declining as we were headed into 2022.
Jon Hickman: So $20 million -- so -- okay. So -- okay.
Operator: At this time, this concludes our question-and-answer session. I'll now turn the call back over to Mr. Miller for any closing remarks.
Jeff Miller: Great. Thank you. So before we wrap up today's call, I'd like to recognize the contributions of our Synchronoss team for delivering innovations to our platforms, supporting our customers and enabling the results that we discussed today. I'd also like to share that after 17 years of service on the Synchronoss Board of Directors, Bill Cadogan, will be retiring at the end of the first quarter. I want to sincerely thank Bill for his many years of service to the organization and for the guidance and coaching that he's provided to me and my predecessors. We appreciate the investors joining us today, and I want to thank you for your continued support of the Synchronoss business. With that, I'll turn it back to you, operator, and thank you all.
Operator: Thank you. Before we conclude today's call, I would like to provide Synchronoss' safe harbor statement that includes important cautions regarding forward-looking statements made during this call. This call may contain forward-looking information within the meaning of applicable securities laws. Although the corporation believes that the expectations and assumptions on which this forward-looking information is based are reasonable under the current circumstances, listeners are cautioned not to rely unduly on this forward-looking information as no assurance can be given that it will prove to be correct. Forward-looking information contained herein is made as at the date of this call, and the corporation does not undertake any obligation to update or revise any forward-looking information, whether as a result of events or circumstances occurring after the date hereof, unless so required by law. Please refer to the forward-looking statements section of our latest MD&A for more information. Thank you for joining us today for the Synchronoss Technologies Fiscal Fourth Quarter and Full Year 2021 Earnings Conference Call. You may now disconnect.